Operator: Good afternoon, and welcome to SunPower Corporation's Third Quarter 2013 Results Conference Call. Today's call is being recorded. If you have any objections, please disconnect at this time. I would like to turn the call over to Mr. Bob Okunski, Senior Director of Investor Relations at SunPower Corporation. Sir, you may begin.
Robert Okunski: Thank you, Sheila. I would like to welcome everyone to our third quarter 2013 earnings conference call. On the call today, we will start off with an operational review from Tom Werner, our CEO; followed by Chuck Boynton, our CFO, who will review our third quarter 2013 financial results. As a reminder, a replay of this call will be available later today on the Investor Relations page of our website. During today's call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in our 2012 10-K, our quarterly reports on Form 10-Q, as well as in today's press release. Please see those documents for additional information regarding those factors that may impact these forward-looking statements. To enhance this call, we have posted a set of PowerPoint slides, which we will reference during the call, on the Events and Presentations page of our Investor Relations website. In the same location, we have posted a supplemental data sheet detailing some of our historical metrics. On Slide 2 of our PowerPoint presentation, you will find our Safe Harbor statement. With that, I'd like to turn the call over to Tom Werner, our CEO, who will begin on Slide 3. Tom?
Thomas H. Werner: Thanks, Bob, and thank you for joining us today. SunPower delivered strong Q3 results, exceeding our financial forecast across-the-board. Our performance reflects continued robust worldwide demand for our high-efficiency distributed generation solutions and solid execution on our large power plant projects. North America, once again, drove our overall results, although we saw a further improvement in our EMEA business, which is benefiting from its strengthening market environment, and we also had another strong shipment quarter into Japan. Due to the strong and growing worldwide demand for our products and solutions, we have decided to expand our manufacturing capacity by 25% or around 350 megawatts. I will provide further detail on our expansion plans later in my remarks. Please turn to Slide 4. Our Solar Star and CVSR projects remain on plan, with revenue and margin from both projects accounting for the majority of our power plant business for the quarter. Outside of America, we are gaining increasing traction in our Power Plant business and recently announced projects in Japan and Chile. Our cooperation with Total in new markets is going very well and we are working together on a pipeline of projects in over 30 countries where Total has a strong market presence. In our Distributed Generation business, demand for our dealer -- for our U.S. residential lease remains solid, and we recently added another $155 million in new financing from 2 partners during Q3. Total lease capacity now exceeds $850 million. Chuck will provide a more detailed update on lease in his section. We increased shipments into EMEA during Q3, driven by strong demand for our new X-series 21% efficient panel and delivered increased margins in Asia Pacific, where our product has captured a significant share of the Japanese rooftop market. We beat our cost targets for both cell and panel in Q3 and ran our factories at 100% utilization. By switching to diamond wire saw wafers, we reduced silicon consumption to 4.2 grams per watt, a 15% reduction over the last year. We are now utilizing wafers at, or thinner, than 135 microns, an industry-leading metric enabled by our back-contract cell architecture. Finally, we strengthened our balance sheet during Q3, increasing our cash balance to over $740 million. I will now present a little more detail on our performance by region and channel, starting with our Power Plant business. Please turn to Slide 5. In North America, construction on the 579-megawatt Solar Star project for MidAmerican remains on track and we expect to start energizing Phase 1 by the end of the year. We continue to see benefits associated with scaling our standardized Oasis power plant block, with cost on Solar Star coming in below target during Q3. Panel installation at CVSR is complete and we expect formal commercial startup this quarter. In Asia Pacific, we're seeing increasing success in the power plant market and recently signed 69-megawatt supply agreement in Japan for this segment. This agreement brings our total ground-mount backlog in Japan to more than 90 megawatts and further broadens our market position there. We are partnering with Total in a number of emerging markets such as the Middle East, Africa and South America. For example, our recently announced 70-megawatt project in Chile. This groundbreaking project is the world's largest merchant PV power plant, meaning that electricity will be sold on the spot market rather than through a long-term power purchase agreement. We believe that this project represents an important milestone, proving that solar power can provide wholesale power at prices competitive with conventional generation technologies. 70% of the $200 million project will be financed through nonrecourse project debt from Overseas Private Investment Corporation, or OPIC, a U.S. government's development finance institution, including an equity investment by Total. Construction is scheduled to begin within a few months in early 2014. Now, let me transition to our Distributed Generation business. Please turn to Slide 6. In the North American residential market, demand for our rooftop solutions remains very strong. We're offering increasingly broad selection of financing options including cash, loan or lease in order to meet the requirements of our diverse customer base. With another $155 million in lease capacity financing closed during Q3, we have now raised more than $850 million in lease financing over the past 2 years. With additional facilities expected to close soon, we will continue to scale our lease customer base. We also recently announced a partnership with Digital Federal Credit Union for up to $100 million in loan capacity nationwide and expect to see increased loan volume as a result. On the policy front, we were pleased with the passage of AB 327 in California, as well as the decision of the Arizona Corporation Commission staff related to Net Metering. These decisions support our belief that residential rooftop solar will continue to be an important element in the long-term growth of the U.S. Distributed Generation business. We also had a strong quarter in our North American commercial channel, where our pipeline now exceeds $1 billion. In EMEA, industry conditions continue to improve and pricing remains stable. As I mentioned earlier, demand for our new X-series panel is very high, and we now have a 2-quarter backlog for this product. Similar to our approach in the U.S., we are finalizing plans for third-party financing vehicles in Europe. While the consumer incentives and tax structures are quite different in Europe, we expect our third-party finance offers will allow us to address new market segments and customers. We initiated our first shipments related to the French tenders that we won earlier this year, and expect additional project wins from our currently submitted bids in the latest tender round. Finally, Japan remains a very strong Distributed Generation market for us. Shipments accounted for approximately 26% of our volume in Q3, up 130% year-over-year. We are also utilizing our industry-leading technology to customize products specifically for the Japanese rooftop market. We expect to begin shipping our first product this quarter. Before turning the call over to Chuck to review the financials, I'd like to spend a few minutes on our future capacity plans. Please turn to Slide 7. As we mentioned previously on this call and in our earnings press release earlier today, we have made the strategic decision to expand our cell manufacturing capacity to capitalize on the improving economics of our solar technology and to enable further penetration of key global markets. Fab 4, planned for the Philippines, will increase our capacity by 350 megawatts or more than 25% of current total capacity. We expect first silicon in the first half of 2015, with full total build-out by the end of the year -- of that year. We are currently in discussions with the Philippine government related to the facility and expect a favorable outcome of these talks prior to our first 2 orders. Our preference to expand in the Philippines is driven by the close proximity of our advanced engineering development group at Fab 2 and by our ability to leverage those resources to rapidly scale our newest technology. With continuous improvements to our Maxeon Gen 3 cell technology, we plan to extend our world-record module efficiency. Our module technology gives us long-term competitive advantage because it delivers the highest energy production with unmatched reliability, affirmed by 4 different external testing agencies. CapEx for the fab will be between $185 million and $230 million, and we will fund this expansion through internal cash generation. This plant positions us well for strong growth in 2015 and '16, as we ramp to more than 1.8 gigawatts of annual capacity. While Fab 4 is being built, we plan to increase our existing fab capacity for 2014 by about 10% to more than 1.3 gigawatts, as can be seen in the slide. With that, I'd like to turn the call over to Chuck to review the financials. Chuck?
Charles D. Boynton: Thanks, Tom. Good afternoon, and please turn to Slide 8. We post another strong quarter of results in Q3, as we executed well across all geographies and end segments. For the quarter, revenue, margin and EPS all came in better than our plan. Non-GAAP gross margin improved 500 basis points year-over-year, with net income increasing significantly compared to last year. In addition, we prudently managed our operating expenses, strengthened our balance sheet and drove another quarter of strong cash flow. Overall, execution on our power plant projects, further expansion of our global distributed generation market footprint and lower manufacturing costs enabled us to exceed our forecasts. Moving onto the P&L. Our non-GAAP revenue for Q3 was $619 million compared to $607 million last year, and better than our forecast. Revenue in the third quarter includes revenue from CVSR and Solar Star of $235 million on a non-GAAP basis and $270 million on a GAAP basis. Cell production in Q3 was 313 megawatts, up more than 5% sequentially, as our fabs were fully utilized during the quarter. Megawatts recognized for the quarter totaled 252 megawatts, and we deployed more than 265. Our non-GAAP gross margin for the quarter was 19.1% and ahead of plan. Now let's discuss our regional performance in more detail. In Q3, non-GAAP North American revenue was $404 million and better than planned. North American revenue accounted for 65% of total revenue, with a non-GAAP gross margin of 21.2%. We recognized 112 megawatts in the quarter, with approximately 60% coming from our Power Plant business. We are ramping our installation at Solar Star for MidAmerican and expect to announce full commercial operation of CVSR in the near future. The balance of our North American business performed well, with strong commercial and public sector revenue. Demand in residential lease was also strong, as our volumes benefited from our recent financings. Cash sales and residential accounted for approximately 60% of total residential sales. In EMEA, non-GAAP revenue was $121 million, up 13% sequentially, as it benefited from strong demand trends, ASP increases in Europe, as well as the construction of our 2 power plant projects in South Africa. Megawatts for the quarter were in line with Q2, though, as Tom mentioned earlier. The limited supply of our X-series panels impacted our total megawatt shipments in this region. Gross margin was similar to last quarter, at 10%, and we are proud of the team and the significant turnaround in this region. We expect the favorable results to continue in the fourth quarter. Turning to APAC. Revenue was $94 million and also ahead of plan. Gross margin for all of APAC was 22%, up almost 600 basis points sequentially, as we benefited from running our factories at full speed, product sales in Asia and our differentiated premium offering in the Japanese market. Company-wide non-GAAP operating expenses for the third quarter were $69 million, in line with Q2. For Q3, EBITDA was $92 million, up 56% year-over-year. Q3 EBITDA includes $21 million from NCI, from our residential lease program. Non-GAAP diluted earnings per share for the quarter was $0.44 and GAAP earnings per share was $0.73. GAAP earnings per share for the quarter reflects a onetime noncash $52 million gain related to a contract termination. This gain is excluded from our non-GAAP results. Non-GAAP weighted average diluted shares outstanding for the quarter were $133 million and reflects the impact of the increase in our share price as we calculated our outstanding warrants and unvested stock awards. The GAAP share count reflects the potential conversion of our 2 stock-settled converts under the if-converted method. We expect our non-GAAP weighted average shares for Q4 to be in the range of $147 million to $157 million. For GAAP shares, we expect Q4 to be $121 million to $149 million. The variability in our share count ranges is a function of our increased profitability, as well as our share price. In essence, the economic value of our outstanding warrants and converts has increased significantly over the past due to our performance. For 2014, we expect our share count to be in line with our Q4 ranges. In Q3, we recognized $21 million of NCI on the P&L. As I discussed in detail during our previous earnings calls, our residential lease ITC financings provide a P&L benefit as shown in our NCI line. This is effectively the gain we recognize by transferring the tax attributes to our tax equity partners. In other types of sale transactions, this benefit shows up as revenue or a reduction of COGS. In Q4, we expect our NCI income to be approximately $9 million. Please turn to Slide 9. We exited Q3 with a strong balance sheet, as we increased our cash position by more than $160 million and generated $160 million in free cash flow. Of the $160 million, $100 million was a sale of a short-term investment, making the effective free cash flow $60 million. We explained in prior calls that we expect it to generate $100 million to $200 million in free cash flow for the year. We are happy to announce that we've achieved this goal 1 quarter ahead of plan. Including our undrawn $250 million revolver, we have $1 billion in liquidity to fund the growth of our business. As you can see, we prudently manage our working capital. During the quarter, we built modest inventory for the ramp of Solar Star. We were pleased to see DSOs decline to 56 days, with a cash conversion cycle of 14 days. Please turn to Slide 10. Q3 was another great quarter for our DG business. Globally, SunPower deployed 134 megawatts of residential products including 56 from APAC, 33 from Europe and 45 from North America. In North America, we are balancing our lease and cash business based on customer economics and available lease financing capacity, which remains constrained. As of the end of Q3, we reached 134 megawatts of cumulative North America leases deployed, serving approximately 20,000 customers with net aggregate contracted payments exceeding $585 million. We are also pleased to announce $155 million in financing capacity with 2 financial partners. And similar to last quarter, 1 new investor and 1 repeat investor. In addition, we closed $100 million of residential loan financing capacity. These financings position us well for Q4 and we expect to close additional capacity soon. I'd now like to spend a few minutes providing additional detail related to our leasing business. Please turn to Slide 11. As I mentioned, our leasing results continue to be strong. The chart on the left shows our revenue over the last 5 quarters. You'll note that there can be variability related to revenue recognition, due when the leases are placed in service, as well as the lease type. The individual factors of each lease determine if it's a capital or operating lease. A capital lease provides upfront revenue recognition, whereas an operating lease is recognized over 20 years. In Q3, approximately 1/3 were capital leases, with the balance being operating leases. Revenue growth in this channel has been very robust. For example, year-over-year, our residential revenue has more than doubled while bookings have increased by 60%. For the third quarter, revenue for our residential and commercial ESP businesses was $35 million. Furthermore, this business generated approximately $23 million of pretax net income, including interest to OpEx absorption and the NCI benefit of $21 million. Consistent with the growth in megawatts booked, we are also seeing a corresponding rise in contracted payments. Not only do we see this as a solid, rapidly-growing revenue channel, it's also driving meaningful cash flow and net income. In closing, our year-to-date performance reflects the unique advantage of our industry-leading technology and flexible downstream model. With our fab expansion and vertically integrated model, we are well-positioned for long-term profitable growth. With that, I'll turn the call back to Tom.
Thomas H. Werner: Thanks, Chuck. I would now like to discuss some of the highlights of our guidance for the fourth quarter, as well as our improved 2013 earnings outlook. Please turn to Slide 12. For Q4 2013, we expect to recognize revenue on approximately 300 to 330 megawatts, with full year megawatt recognized in the range of 1 to 1.03 gigawatts. On a non-GAAP basis, we expect Q4 revenue of $675 million to $725 million, the full year revenue to be between $2.52 billion and $2.57 billion. For Q4, we see non-GAAP EPS in the range of $0.15 to $0.35. And for 2013, we are raising our earnings guidance from a range of $1.3 to $1.30 to $1.50. On a GAAP basis, we expect Q4 revenue of $575 million to $625 million, with annual revenue of $2.45 billion to $2.5 billion. In relation to earnings per share, we see Q4 2013 in the range of a loss of $0.10 to a profit of $0.10 and 2013 earnings of $0.45 to $0.65 per share. Capital expenditures in the fourth quarter are expected to be in the range of $20 million to $30 million. We also remain committed to reducing operational expenses year-over-year and have already reached our goal of $200 million in free cash flow for the year. Before turning the call over to questions, I'd like to spend a few minutes explaining our plans for the next few years. 2013 has been a very strong year for SunPower as we capitalize on long-term investments in technology and downstream channels. As a reminder, back in May, at our Analyst Day, we expected our full year 2013 non-GAAP earnings to be in the range of $0.60 to $0.80. And now, we are expecting earnings to be between $1.30 and $1.50 per share, which reflects the solid execution of our model. We plan to build on this momentum into next year, investing for the future through upstream capacity expansion and further technology development, as well as by continuing to create value downstream in our Power Plant and DG channels. For 2014, we will lay the groundwork that will allow us to rapidly expand our infrastructure and manufacturing scale in 2015, while delivering strong bottom line performance next year. For 2014, we see non-GAAP earnings per share per quarter in the range of $0.15 to $0.35, with full year earnings of at least $1 per share. As a reminder, this guidance takes into account pre- op expenses for Fab 4, as well as a higher share count. As we look towards 2015, we expect our financials -- our financial results to increase meaningfully versus 2014, as we benefit from additional fab capacity, execution on our domestic and international project pipeline and further expand our DG volumes, including lease. We'll now open the call to questions. In addition to Chuck, we also have Howard Wenger, Regions' President; and Bob Okunski, our Senior Director of Investor Relations. First question, please.
Operator: [Operator Instructions] Our next question is from Shahr Puourreza.
Shahriar Pourreza - Citigroup Inc, Research Division: Yes. This is Shahr Puourreza at Citigroup. Let me just ask you 1 quick housekeeping question. The fabrication or the capacity expansion that we saw, is that the 3B plant?
Thomas H. Werner: So the facility that we're -- the fab that we're going to build is not 3B. It's a new fab in the Philippines. It will actually use the infrastructure from a previous fab we had in the Philippines. But, no, it's a fab in the Philippines and we remain -- we retain the capability in Malaysia to expand and to build on 3D.
Shahriar Pourreza - Citigroup Inc, Research Division: Got it, got it. Okay. And can you up the megawatts as far as the expansion from 350 on that current site? Or would you have to go to Malaysia?
Thomas H. Werner: I'd say it's probable we'd have to go to Malaysia. There is a possibility that the team is looking at of up to a 25% expansion. But in all probability, it would make more sense to go to Malaysia and Malaysia is not our only option, by the way. It's the most likely, but it's not our only option.
Shahriar Pourreza - Citigroup Inc, Research Division: Got it, got it. And then let me just ask you, earlier this year, I think it's the first time, first instance, we saw Total infuse equity capital to a project. So when you think about moving forward and you're chasing after pipelines in South Africa and the Middle East, Saudi Arabia or whatnot, the relationships with Total, can we assume that any project wins will come about with infusion from Total, very similar to, I think, the Chilean project? Or is it sort of going to be Total more leveraging their relationships with them being hands-off? I'm sort of wondering what kind of exposure Total will have in Middle Eastern projects.
Thomas H. Werner: So I would be -- the short answer would be that a big percentage of the time, we'll see some equity participation by Total, but it's certainly not the rule. There'll be both complete self-development with the complete third-party. And then in some cases, Total with equity positions. And the model's working great. You used the word chase. I think it's going well. It doesn't feel like we're chasing. It feels like it's going well. But Howard, do you want to add anything?
Howard J. Wenger: Yes. I would agree, Tom. Things are going very well. We've got a 6-gigawatt global pipeline. And of that, approximately 1/3 is in cooperation with Total. So they're a big lever for us. And as Tom mentioned, it's a combination of self-development and co-development, where we're working with local developers in Total. So effectively, we will have an equity participation.
Shahriar Pourreza - Citigroup Inc, Research Division: Got it. Can you just remind us what the status of the Saudi reverse auctions are right now? I think they were looking to auction 3 to -- 2 to 3 gigawatts this year? I haven't heard any updates on that.
Thomas H. Werner: Yes, I think it's unlikely we'll see that happen this year. It's on -- it's apparent since we've only got 2 months left in the year. I -- the intention is still there and that is going to be a very big market. I think the structure of the market is still evolving, meaning, who will build what? In what location, scale? How will the oil revenue be modified? So without speaking on behalf of the Kingdom of Saudi Arabia, I think that they're still evolving the structure. But every signal we have is that they intend on that still being a very big solar market.
Shahriar Pourreza - Citigroup Inc, Research Division: Got it, got it. And very last question, can you just remind us when the agreement with Total will end, where they can up their ownership in SunPower above 66%?
Thomas H. Werner: They have certain rights now. They've taken about 66% but their standstill expires in, I believe, June of next year.
Operator: Our next question comes from Ben Kallo.
Benjamin J. Kallo - Robert W. Baird & Co. Incorporated, Research Division: It's Robert W. Baird. Tom, you threw out some guidance. Could you just go over that again? And then maybe if you could go up to the EBITDA line, just how do we look at that? And I imagine that's pretty loose guidance and you'll give formal guidance on the Q1 call?
Thomas H. Werner: Still -- and, Ben, you're talking about both Q4 and '14 or '14 only?
Benjamin J. Kallo - Robert W. Baird & Co. Incorporated, Research Division: '14 only.
Thomas H. Werner: Okay. So I'll comment a little bit, then I'll turn it to Chuck. What we wanted to do was give a profile, actually, of '14 and '15 because the fab changes that profile and we wanted people to know, broadly, where we were at. With -- between the capacity expansion that we indicated, you can get a sense of revenue from that. But we wanted to give a good sense of the impact of building the fab and the additional share count that we still expect '14 to be a very good year. So that was the intention of what we're doing. And as you pointed out, of course, we're going to hone in on that guidance in the next earnings call, when we get into Q1. Chuck, did you want to add anything more precise?
Charles D. Boynton: That's good. Ben, we did $91 million of EBITDA in Q3, including NCI benefit. And you could back into expectations for Q4 at a similar level and that's as far as the color we provided for EBITDA.
Benjamin J. Kallo - Robert W. Baird & Co. Incorporated, Research Division: Great. And then you expanded your tax monetization capacity during the quarter. And then I'm kind of wondering, as you're sold out at this time, how do you guys think about allocating product between your different end markets, geographies and then different products? If you could just go into that, then I'll hop back...
Thomas H. Werner: Sure, Ben. As you know, we take cash flow and the P&L very seriously and we want to deliver solid results across the financial statements, not optimizing for one. So we do allocate product to all key markets. Howard, do you want to comment on the market opportunity?
Howard J. Wenger: Sure. Hi, Ben. This is Howard. We have a balanced portfolio of products to our business, as you know, where we're balancing across geographies and channels across the world. And so we're always going through an internal allocation exercise to optimize, as Chuck mentioned, profit, cash flow, balance sheet impacts and strategic markets where we want to be positioned for the future. And so our core markets, our key markets right now are U.S., Japan. We certainly want to win in those places. Certain countries in Europe, for sure. And then we're positioning in some new emerging markets like Chile, as evidenced by our 70-megawatt win that we announced. And you can expect to hear more about where we're expanding outside of those core key markets. Certainly one more comment is that one of the emerging models for the company is ESP, Energy Service Provider, we call that, where we're selling solar coupled with financing and then layering on additional products that are adjacent to solar. And that's certainly, it's something that we're facilitating through our lease and financing business in the U.S. And we're going to continue to invest in that, both in allocation and in OpEx investment.
Thomas H. Werner: Next question, please.
Operator: Our next question comes from Vishal Shah.
Vishal Shah - Deutsche Bank AG, Research Division: Tom, can you talk about the assumptions you're making in 2014 for the earnings and revenue guidance you gave? And how many megawatts or what kind of percentage of the capacity will be allocated to Solar Star and some of the utilities you can target for the U.S.? And what's your thoughts on leasing business for next year?
Thomas H. Werner: Sure. So the precision that you asked, we'll do a lot more of that on the next call, but I will refine it some for you. We've said previously that our large scale projects are up to 1/3 of our business. And if you think of that, it's actually up to 1/3 of our business for the next 3 years, which is a huge advantage for us because we've got a great foundation across all 3 years that we can capitalize on, and then it means that we can grow a lease in a way that we think is prudent, given the diversification that we prefer, worldwide. So the lease business is going to grow rather aggressively next year, for sure. But offset by the diversification that we desire. And then we're seeding new markets. So as I mentioned in my prepared remarks, Chile will be built next year. And that's where the long-term sustainable demand is, it's in markets that don't require policy support. And so we think it's really important to seed those markets where you can build a merchant power plant. So what you'd see us doing is the mix next year of business, to be sure, is that it will allow us to be solidly profitable. But at the same time, profitable over many year and growing rather aggressively. So it gives you a rough idea of mix. And we'll give you more about that on the next call.
Vishal Shah - Deutsche Bank AG, Research Division: I guess my question is are you going to -- are you going to [indiscernible] slowdown Solar Star in order to take advantage of, say, Japan and some of the other markets?
Thomas H. Werner: Think of it this way. I'll just be precise with my answer. We're going to build Solar Star through next year. It will be materially complete next year, going a little bit into the following year. And then we've got 2 more large projects that will be built roughly over the next 18 months to 2 years. So the 3 projects being Solar Star, Quinto and Henrietta, will be built over 2.5, maybe 3 years. And that's our intention. And it allows us to balance on the new pipeline that we're filling against the lease revenue. To be sure, we could do a lot more lease volume, but it's the way we've chosen to allocate.
Vishal Shah - Deutsche Bank AG, Research Division: Okay. And just your thoughts on how you think pricing environment shapes up for next year? Do you think we see stable pricing or maybe some pricing pressure, as you go to the next year?
Howard J. Wenger: This is Howard, I'll take that. We see pricing being stable this quarter and going into next year. Demand is quite strong and we are in somewhat of an allocation mode. But as Tom mentioned, we're able to preferentially put our megawatts where it makes the most sense for the company.
Thomas H. Werner: So I think short answer, Vishal, it will be stable.
Howard J. Wenger: Stable.
Operator: Our next question comes from Patrick Jobin.
Brandon Heiken - Crédit Suisse AG, Research Division: This is Brandon Heiken on behalf of Patrick Jobin from Crédit Suisse. Could you clarify to what extent the last 2 increases in your annual EPS guidance have been due to a pull-in of projects versus other improvements in fundamentals? And if you are pulling in projects, how does that reduce the total cost per watt, if you have a reduced construction time?
Thomas H. Werner: So we're not pulling in projects. It's improvements in the cost structure of the company and a stable to marginally improving pricing environment. Those are the 2 levers. The -- in a little more precision, Japan has been a great market for everybody this year, and particularly us. And the way we structure our lease business is profitable in the near-term. And so the combination of things allows us to be profitable without pulling things in. Second part of your question is a very good question and that is, of course, costs come down in time. And so if you pull in a project, you actually have a higher cost structure and that's one of the reasons why we haven't pulled in projects because we want to capitalize. So we're able to scale our business without pulling in projects, continue the cost down curve and not penalize any of our projects.
Brandon Heiken - Crédit Suisse AG, Research Division: Okay. And could you clarify, you mentioned that shipments to Japan were 26% of shipments in the last quarter. How do you expect that to progress here in the coming quarter and next year?
Howard J. Wenger: This is Howard. We expect it to be roughly the same, plus or minus several hundred basis points. But we expect it to be a significant portion of the business going forward.
Operator: Our next question comes from Rob Stone.
Robert W. Stone - Cowen and Company, LLC, Research Division: It's Cowen and Company. Tom, you're obviously just giving general guidance for '14 and '15, but I wonder if you could say what some of the factors are you see that account for the fairly wide range? You've had a fairly wide range of earnings guidance, in particular, for the last 2 quarters and you've done quite well coming in at the high end or above that. But what are the main levers that account for the spread?
Thomas H. Werner: The mix of business that we end up doing is a lever on the pricing environment. We expect stable pricing this year. Pricing was better than we planned, so that influenced things. And then there's a degree of timing of how fast we build the projects. Even as I answered the previous question, we don't expect to pull in projects, but the timing of how they're completed. So there's really -- and then, Rob, we're really guiding '14 pretty early. So what we want to do is get [ph] the big picture out. And as I said before, we want to give the picture for the next couple of years because building a fab is a big endeavor and I want to make sure that everybody thinks about it in that 24-month horizon.
Robert W. Stone - Cowen and Company, LLC, Research Division: How big a factor, then, on just sort of the average EPS you're looking for, cash EPS that leads to dollar is the increased share count in '14 relative to '13?
Thomas H. Werner: It's between $0.10 and $0.15.
Robert W. Stone - Cowen and Company, LLC, Research Division: A follow-up question, if I may, related to Europe. Margins there remain quite a bit below your other regions. You've talked about getting back to a breakeven by year-end and, hopefully, better performance next year. Any update you can provide on that?
Thomas H. Werner: Yes, thanks for the question. So we will hit profitability this year. Next year we'll continue on a positive path. And importantly, Rob, Europe is our first markets where we'll be looking more and more like an energy service provider. And we think it's markets where it won't be as dependent on policy, and it'll be more independent of policy. So it's a great place for us to exercise our product offering, understand the solution set and then expand that to other markets. So improving economics and also what we think is the best market to start our energy solutions provider offering.
Robert W. Stone - Cowen and Company, LLC, Research Division: Okay. My final question is on potential for continued capacity expansion. I think you alluded to some room to make fab 4 bigger but, most likely, going back to Malaysia. Was the factor -- I think you said proximity to the engineering center. So would it be reasonable to conclude that if the new technology you're deploying for early 2015 is relatively stable, then adding on in Malaysia the following year or something would be more of a copy exact [ph] and something with a shorter planning horizon?
Thomas H. Werner: Yes.
Operator: Our next question comes from Brian Lee.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: Goldman Sachs. First off, I guess, can you talk to how linear the fab throughput improvements will be in 2014? And if you're anticipating being capacity constrained throughout the year until you get new capacity online in '15?
Thomas H. Werner: It's reasonably linear on the yield and equipment utilization. Of course, we get the benefit of running the fab to 100% all year and this year we didn't run 100% in the first quarter. So if you compare it year-on-year, it looks flattish. There's sort of a step function going into the year. The answer to your question, though, is, for sure, we need a new fab and we will ramp that path aggressively to get meaningful capacity. We need a new fab.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: Okay, great. And then on your residential leasing segment, I guess, if I look at the 12 megawatts of bookings in Q3, it does seem to imply you're growing a bit slower than some of your peers. Can you talk to that a bit and what constrains, if any, you're experiencing, or if there might even be some market share issues at play?
Thomas H. Werner: Sure. I'll make a few comments and, Howard, you could add on, if you'd like. Our residential, our Distributed Generation American business is going to grow great this year, and Howard will give you some statistics, and we'll grow really strong next year. But to your point, it could grow a lot faster if we chose to -- and we're making a decision that we think balances -- and this is the profile of our company for many years now, which is to have a diversified geographic footprint -- geographic -- I'm sorry, diversified segment footprint. Because in the previous years, to diversify our policy risk. As we look forward, it's to diversify our policy risk, but also to manage cash effectively and to capitalize on markets that don't need any subsidies and that are policy-free or closer to policy-free. So we're planting seeds for years '15, '16 and '17. At the same time, it's harvesting what is a really strong market. There is no question, nobody's -- the North American lease market is quite strong and we can grow it quite a bit faster.
Howard J. Wenger: This is Howard. Just to add on, we've held share, actually, the last couple of quarters and we're positioned really well for 2014. And as Chuck mentioned in his remarks, we secured some additional finance capacity, which is really important to growing the business. And where we have a very robust network and channel through our dealer partners in North America. And so we're in great shape for 2014 and we will be growing, year-over-year, very substantially, 2013 over -- 2014 over 2013.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: Okay, great. Last one for me on that same topic, and since you mentioned the funding capacity. Can you quantify how much of the $850 million in total lease capacity you raised to date has not yet been deployed and whether you can quantify that in terms of a ballpark range of potential megawatt volumes?
Charles D. Boynton: Sure, sure. Most of it's been deployed. We raise the funds and then deploy them over a quarter or so. So last quarter, we did 2 funds for $150 million. This quarter, 2 more funds for $155 million, and we expect to close more soon. We don't break out the details, but if you do the math, you can back-solve likely and get pretty close to the megawatts.
Operator: Our next question comes from Krish Sankar.
Krish Sankar - BofA Merrill Lynch, Research Division: Bank of America Merrill Lynch. Number one, either Chuck or Tom. You guys clearly had a very strong quarter in the Americas. Is most of it being driven by Solar Star and the leasing business? Or are there other meaningful projects out there beyond the known ones that you think are helping you guys?
Thomas H. Werner: A couple other things we have is that we still have a great, large commercial business and that's contributing and will grow over the next few years. And we also are wrapping up CVSR. And so that still has an impact on the results in the current quarter, in Q3.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. And then can you talk a little bit about the different trends you're seeing on the state level demand through your leasing business?
Howard J. Wenger: Sure, this is Howard. I can talk to that. California still leads the way. There is a demand in other states. We're in Hawaii. We're in a number of states in the East Coast. And that's where most of the U.S. demand is playing out for lease.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. All right. And then a final question from my end. Where do you think your market share in Japan and in the U.S. is today on the residential side?
Howard J. Wenger: Market share in the U.S. residential is between 15% and 20%. We believe the most recent figures we've seen are closer to 20%. And then, in Japan, for residential, we're approximately 10% to 15% of that market.
Operator: Our next question comes from Colin Rusch.
Colin W. Rusch - Northland Capital Markets, Research Division: Northland Capital Markets. Tom, can you talk a little bit about the potential additional financing vehicles that you might be able to tap into as you go through 2014 and what that impact might be on those EPS numbers? Certainly, I haven't seen what NRG has done with the yield co. and the potential for Total to do a similar sort of vehicle that could lower your cost of capital and support profitability in your platform. It seems like you may have some additional leverage there. Can you just walk us through how that might work?
Charles D. Boynton: Colin, this is Chuck. I'll take the question. There are emerging a number of financing vehicles that a lot of companies have talked about. We participated in one of the yield co.'s with our CVSR project. And these are really important to the industry, because they provide additional liquidity and are very strong. There is some misnomers in requirements to change in policy for MLPs and REITs that you probably know about, so that we don't see that being a very near-term boost. What we're very excited about though is the emergence of the ABS markets, the asset-backed securitization markets, for our residential leasing program. Those structures, we think, will provide great liquidity at low cost of capital, as we scale and grow our residential business.
Colin W. Rusch - Northland Capital Markets, Research Division: And can you talk a little bit about the impact to earnings power for you guys, as you see those securities roll out?
Charles D. Boynton: Very significant because, effectively, you're going to be able to access much cheaper leverage or debt for our programs. And so you can do the math, but if you -- NRG published the results of their yield co. and it was very favorable, obviously.
Colin W. Rusch - Northland Capital Markets, Research Division: Okay, great. And then looking at your APAC numbers, you've got gross margins up about 3 points quarter-over-quarter. Was all of that on cost reduction from the core manufacturing margins? Or is there something on the price side that's helping you guys drive those margins higher?
Charles D. Boynton: There are 3 key factors. Certainly, cost reduction helped, also running our fabs at full utilization helped us as well as pricing and sales outside of Japan.
Colin W. Rusch - Northland Capital Markets, Research Division: Okay, great. And then the sales outside of Japan, what was the impact on the margin from that?
Charles D. Boynton: Significant.
Thomas H. Werner: Okay. I think we may have our last question.
Operator: Our last question comes from Mahesh Sanganeria.
Mahesh Sanganeria - RBC Capital Markets, LLC, Research Division: RBC Capital Markets. Okay. So first question, on your capacity plan, looks like your growth will be limited by how fast you can bring the capacity. I'm just wondering if there is a way for you to use the lower efficiency panels? Does that work with your product? Is that an option you would consider or you will stick with your high-efficiency panels?
Thomas H. Werner: So we will grow our capacity next year. It will grow over 100 megawatts next year. And that's rather substantial. And it would -- there's the potential perhaps for a little bit more there. We're also going to be deploying our concentrated products that is currently a 7x concentration product and we really have some projects we'll be building next year that utilize capacity more efficiently. So '14 is in -- we aren't totally dependent on building a fab, and the fab comes online in the first part of '15 and then ramps from there. So '15 continues to capitalize on our concentration product and then has the fab get [ph] on to it. So '15 is a year of real acceleration for us, for sure. And the answer to your question is, no, we don't plan on using lower-efficiency product. We will grow with our product. Because of the comments I made in my prepared remarks, the advantages of our product go beyond efficiency. They are long-term reliability and higher energy production, both of which are a big deal in energy service provider alike relationships, which today are PPAs and leases, in the future it will be different.
Mahesh Sanganeria - RBC Capital Markets, LLC, Research Division: Okay, that makes sense. And one question on your -- on the guidance for 2014 or the indication of guidance. You gave us an idea of the effect of the share count and that's probably -- that's almost half the effect. But if the fab doesn't start, where does the extra expense -- I would think that you're talking about higher expenses last year. Where does that extra expense come from?
Thomas H. Werner: Let me answer that and then we're going to wrap up the call. I really appreciate your questions. As Chuck said, and you said half, that gives me some sense of what your target EPS is for next year. The share count does have a big impact. Ramping the fab, though, we will be buying equipment next year and installing equipment. And in some cases, running wafers through that equipment, because first silicon happens in the first quarter of '15. So that means we've got to start getting equipment running in the back half of next year. And that expense of doing that will run through our P&L. And it's a meaningful amount. It will also run through '15 but it'll be diluted in '15 because of what I said in my prepared remarks, the higher volume and the other projects and lates [ph] that we're doing in '15. So think of those 2 factors. And by the way, we're still not in '14. So that is our first shot at color for the year. Obviously, expect more in Q1. And let me end with that, and thank everybody for joining us on the call. We had a very strong quarter. We raised the year. We're poised for long-term growth. We look forward to our Q1 call. Thank you.
Operator: That concludes today's conference. Thank you for your participating. You may disconnect at this time.